Mark Bristow: [Call Starts Abruptly] …in Nevada last week and we will be hosting the quarterly presentations from there but you're welcome to come here. We'll make sure that cookies and everything are available and you can -- and then we will answer the questions still. And then we'll be back in -- it's not that we won't -- have anything against Canada, we'll be back quarter four and quarter five, and what I'm trying to do is have at least one Board meeting out of town in a year and that’s -- this year we had two but we'll settle down to one, we'll go somewhere like South America or Dominican Republic most probably next year. So it’s been six months since the big merger, lots of people had lots of views about how it would work or wouldn't work. And it's been a fun six months and today I plan to share with you the enormous progress that our teams have made in building that business that we had envisaged and that is really just to remind you -- and to remind you that what we had in mind is a business that would create value for the mining industry. We wanted to be the most valued mining company in the gold space initially and ultimately in the resource space.  We’ve rationalized the corporate structure, assembled the new team or teams, who are committed to and capable of achieving our ambitious goals, established three regions for the effective management of our global portfolio to bring that sort of Randgold agility into this new company, and aligned operational management with our core vision. And that is delivering the best returns by combining the best assets with the best people. But that's not all.  In addition to settling down the new Barrick, we delivered the Nevada joint venture, the world's largest gold production complex, in its richest gold field, and found a solution for this seemingly intractable situation in Tanzania through in-principle agreement with the government and a buyout bid for Acacia. That's a lot of boxes ticked. And on top of that, we're making our first half year with another strong set of results, as I'll show you in this presentation, while continuing to cut unnecessary G&A costs.  This is the cautionary statement which unless you're a speed reader is also duplicated in your pack, so you can -- for those slow readers you can read it in your own time.  I’d start it as usual with a look at our sustainability scorecard. From an already strong baseline, we are setting new targets to improve our safety, occupational health, environmental management, human rights and community development performance. On the health and safety front, the group reduced both its lost time and total recordable injury rates during the quarter.  In Africa, we're working with the authorities to contain the latest outbreak of Ebola in the DRC and stepping-up our continued fight against malaria, the continent’s deadliest killer. They were no major environmental incidents during the quarter and a survey of our tailings storage facilities confirmed that we were proactively managing that risk. For those who are interested, you can see the full report we filed in response to the Church of England request on our website.  A number of our operations received positive results from the external ISO 14001 audits, and very importantly, Veladero has been recertified without qualifications. The Malian government has given the go ahead for a groundbreaking solar power project at Loulo-Gounkoto, part of an energy efficiency draft and our water usage continues to improve.  Our consolidated sustainability report for 2018 was also published today. And you can find this very detailed account of our performance and our plans on the website. We're proud of what we have achieved so far, but also we are under no illusion about the scale of the work that still has to be done or the specific social and environmental issues that still need to be resolved. Turning now to the past quarter and its highlights, I’m pleased to report that the results point to an annual production at the top end of our guidance range and the cost metrics at the lower end of the range. After payment of the quarter one dividend, debt net of cash remained unchanged and the dividend has been maintained at the same level as quarter two. Adjusted earnings of $0.09 per share are in line with the market consensus. Operationally, it was a strong performance across the board with Veladero, Loulo-Gounkoto and Kibali's leading the pack. Pueblo Viejo’s exciting expansion project progress and the planned prefeasibility is scheduled for completion by the end of the year.  On the exploration front, drilling at Fourmile returned this project’s based ever intersections while Loulo-Gounkoto and Kibali's continue to confirm their brownfields’ expansion potential. Hard work on the setup of the joint venture during the quarter enabled Nevada Gold Mines to sprint out of the starting blocks on July the 1st and the new business is likely to impact positively on Barrick's production profile for the year.  I should mentioned that I have just returned from a tour of the Group's operations and all our management teams are making good and steady progress with the Nevada team being particularly well given the short time that they have been together. This is in large part due to the planning and work that has gone into ensuring the business was ready for launch at the get go. This is a snapshot of our Group's operating results which is built on the solid base established in quarter one and sets us up very well for a good finish to the whole year six months ended. And these are the numbers which speak for themselves. And since the end of the second quarter, we’ve repurchased $248 million of outstanding bonds due in 2020, ticking another box with respect to cleaning up the balance sheet and this will not only reduce our debt but it also reduces our interest payments. And we will continue to chisel away at the remaining date as we promised when we announced the transaction.  We will start the operating -- operations reports too with an overview at Cortez in Nevada. As you know, since the end of the quarter our Nevada mines have become part of the new joint venture. So going forward, we will be reporting our attributable share of production from those operations. Production at Cortez was up 7% on the previous quarter, mainly as a result of mining more oxide ore from underground and higher throughput rates. The Deep South project continues to progress and is scheduled to start contributing to production next year.  Guidance for the full year on a 100% basis is expected to be at the top end of our range that we shared with you in January. However, on a attributable basis, we have decreased our guidance as you’ll see in our handouts to align with our 61.5% equity share in the new joint venture from July 1.  Goldstrike, as you see, had a difficult quarter and production was down 22% due to persistent challenges in processing the high ash content stockpile which resulted in lower autoclave recoveries. Roaster production was also down as less underground ore was available for processing. But as you saw in the previous slide, this was made up by more ore fed through the roaster from Cortez.  Goldstrike has now been combined with the Newmont Goldcorp’s Carlin. As a result, we expect to be able to access some additional feed for the autoclaves and improve the production out of Mill 5 and Mill 6, an immediate synergy benefit that we promised you when we announced that Nevada -- the Nevada joint venture. Consequently it is expected as a complex to outperform in the second half. And therefore, we have an increased our attributable share of the gold production guidance range for the full year compared to what we guided at the beginning of the year. The combined Carlin-Goldstrike complex will be known as the Carlin Mine going forward.  Production at Turquoise Ridge also lagged that of the previous quarter, mainly as a result of unplanned downtime caused by shaft, power and dewatering issues. Construction of the mine’s third shaft continued to advance, however, on schedule and within budget. And the combination of Turquoise Ridge and Newmont Goldcorp’s Twin Creeks as part of Nevada Gold Mines is expected to have a significantly positive impact on our full year production and costs. And as a result, the guidance range for our share of production has been materially revised upwardly. The adjustment is driven by the fact that we are forecasting to increase the amount of higher grade at Turquoise Ridge ore to be processed given that we no longer are constrained by the previous toll milling agreement.  When we announced Randgold-Barrick merger, we pointed to two Tier One assets in Nevada with the potential to create two more. The combination of Twin Creeks and Turquoise Ridge delivers that Tier One asset with a fourth potentially in the making at Goldrush. Just out of interest, Nevada Gold Mines now boasts 12 open pit mines and 10 underground mines with proven and probable reserves of more than 48 million ounces.  As I noted earlier, as a gold mining complex it’s the largest of its kind in the world and it is set to deliver giant sized value creation, initially in the form of significant synergies which we pointed to at the timing of finalizing the joint venture with Newmont Goldcorp. We have increased the attributable production guidance range to between 2.1 million and 2.3 million ounces, for the full year from 2 million to 2.2 million ounces at the lower end of the cost range.  One month since its official launch and having just come from spending nearly a week working with the Nevada management teams, I remain excited about their prospects. I can confirm that already the team is optimizing the ore routing as showing here and this is just for the Goldstrike-Carlin complex as shown in this slide with more to come as we rationalize the roaster feed with the best ore resources. And you all have seen that we are maintaining our guidance of between $450 million and $500 million in synergies over the next five years and we are already about half way of that $500 million on an annualized basis as we sit today.  Still on Nevada, Goldrush and Fourmile are showing real potential with Goldrush on track to deliver a full feasibility study early in 2021 and first ore is expected later in that year or very early in 2022. Drilling continues to close the gap between the two ore bodies. As you know, Fourmile was kicked out of the Nevada joint venture but we have the right to add it back and once we've determined its value and completed a feasibility study that supports the required investment thresholds.  Drilling this past quarter has returned some eye-watering intersections with best ever grades that we've achieved in that Fourmile-Goldrush complex as you can see here. And I've got no doubt that this deposit will continue to grow both in size and in value.  We move now to Canada where Hemlo continues to perform consistently to budget and is on track to achieve its annual production targets. Hemlo's trailing storage facility achieved a critical milestone last quarter, with a go ahead from both local First Nations for the expansion of the tailings facility. The team has also made significant progress with getting to grips with the geology and associated brownfields exploration as well as reviewing the mining methods and re-optimizing the plans against proper geological models. We are encouraged by the progress and believe there is real potential to increase the life of mine and take this operation to Tier Two status. Just a reminder that's 10 years at about 250,000 ounces a year.  So really when we did the deal Hemlo was one of those assets which everyone had a different view on. But definitely our geologists have now got their head around that the upside and our mining team has worked with the mine management team and Hemlo is looking a lot better than it was when we first started.  Pueblo Viejo experienced a slower quarter with production down in the back of lower feed grade and a total plant shut down and autoclave maintenance. However, the operation is still planning to achieve guidance for the year. As with the rest of the legacy Barrick portfolio, in our Latin American region mineral resource managers have now been appointed at all the mines which are progressing towards full accountability for their own geological models and estimates. There is still a lot of work to be done but the benefits of the new geological focus, I expect it to start flowing through in the second half of the year, beginning specifically at Pueblo Viejo in the Dominican Republic. We now have new geological models there and are revising the reserve and resource estimates based on these and revised mine plans, including the mine expansion project.  Next to the Nevada opportunities, PV offers what is probably our most exciting expansion project. The estimated initial capital cost of extending the mine’s processing plant and tailings capacity will exceed $1 billion, but with the potential of converting 8 million ounces of measured and indicated resources immediately to reserves. This should extend the life of mine well beyond 2030. We are forecasting to complete this feasibility study in 2020, next year. The project specifically is expected to deliver annual production of around 800,000 ounces from 2022, and in the lower half of the industry's cost range.  Based on the work done so far, we remain bullish on the potential to add further targets for evaluation. And so this is a textbook example of what improved geological modeling and all control can do for a mine whose Tier One status was coming into question. Moving now to Argentina, work to reclaim Veladero’s full potential produced a solid set of results for quarter two with production up by 7% and cost per ounce down by 5%. It is also on target to achieve annual guidance, and the focus is now on adding them to the mine’s resources and reserve base and lowering the costs, thereby extending its life of mine and returning it to Tier One status.  In addition, the team has done an excellent job in rehabilitating the mine’s social license by improving relationships with the local community, as well as the provincial and national governments. And also 96 tonnes of mercury was safely removed from sites during the quarter.  Since the beginning of the year, we’ve renewed our commitment to South America. We've had a new regional exploration strategy and plan to invest $30 million in exploration in Argentina alone. Barrick holds a highly prospective land package along the El Indio belts, which spans Argentina, Chile and Peru as you can see in this slide. And in addition to hunting for new discoveries there, we already identified the possibility of extending Veladero’s life of mine. At Pascua-Lama, we are reviewing the project’s original parameters, and defining its future potential.  Now to Papua New Guinea, where Porgera certainly has the potential to achieve Tier One mine status, albeit in a tough neighborhood. This month we made some progress in securing its future by getting a court approval to continue operating, while our application to extend the Special Mining Lease due to expire on August of 16 is being considered. A significant potential to double Porgera’s life of mine currently standing at around 10 years. Porgera is a major contributor to the country's economy and we are working hard to establish the kind of partnership with the government and the rest of the local stakeholders that has worked so well for us in other challenging jurisdictions.  Now over to Africa the Tier One Loulo-Gounkoto complex has delivered as usual solid performance, increasing production by 15% and continuing to replace the depleted ounces through brownfields exploration at a rate that supports its 10 year operating plan. As I mentioned earlier the installation of the Group's first 20 megawatt solar power plant is currently underway at Loulo. And staying in Mali I’m happy to say that the mediation of our long-standing tax dispute with the government is making progress and its satisfactory outcome I believe could be in sight.  In addition to replacing reserves, our exploration teams are also looking for new Tier One discoveries in the Loulo district. We dominate the highly prospective Senegal, Mali and shared zone across the Senegal-Mali border. And as you can see here we have multiple targets along with 70 kilometers of strike we control. Also in Senegal, we have completed the feasibility study on the Massawa project and are now on the licensing and permitting process. Massawa is a valuable asset and we're carefully considering how best to bring that value to account.  And in the Democratic Republic of Congo, Kibali had another strong quarter increasing production and reducing costs and remains on track to meet or even beat its annual guidance. Ongoing brownfields exploration points to continued replacement of gold depletion and multiple opportunities within the main KCD orebody indicate that Kibali will continue to maintain its Tier One status into the future.  We are excited about the potential for further Tier One discoveries from the Congolese craton, which by the way also extends down to Tanzania and hosts the Acacia assets. As you will have seen the Acacia borders now supported our offer to acquire the Acacia minority shareholder interest, following which we will integrate the company's assets into the Barrick portfolio. Acacia's troubled history includes a long standoff with the Tanzanian government, which has now expected the resolution agreed in principle between our Executive Chairman, John Thornton and the country's President.  Once we have the control of the Acacia assets, we’ll have a lot of work to do to sort out the operations and rebuild in-country relationships, and of course, most importantly, the license to operate.  This in summary is where we are with the transaction to acquire the minority shares in Acacia and bring it back into Barrick, along with the expected timeline to closure of the transaction. We expect to issue just less than 25 million new Barrick shares to buy out the minority shareholders.  And this is a snapshot of our other gold mines, Kalgoorlie operated by Newmont Goldcorp is the only asset in our portfolio which could be performing better. Whilst it continues to be valuable asset, we are moving down the road of selling our 50% stake in this icon of gold mining. Given we are not the operators, it does not fit with our fortes as we do not want to be passive investors in assets that we own.  Tongon had another solid operating quarter. With only three years left, we’re exploring the potential for expanding its existing reserves significantly through ongoing regional exploration. And as for our copper mines, all delivered incredible results on the back of improved efficiencies and costs despite lower metal prices. Some initial operational issues early in the quarter at Lumwana were successfully addressed in June.  Some investors have asked me for a complete overview of global operations and the regional contributions to the Group’s production and here it is. And as you can see, our total attributable production forecast for 2019 remains unchanged, albeit at half way we are targeting to be at the upper end of the production range and the lower end of the cost ranges.  As promised, we’ll be in a position to share our five year plans for our key operations with you when we present the Q3 results in early November. And as I alluded to earlier, another box we have ticked is our goal to streamline the corporate oversight of the Group and reduce unnecessary G&A costs. This slide shows the real progress we have made on this front with corporate administration charges for quarter two net of severance costs now at approximately $50 million and in line with our guidance for 2019.  Creating value, as I’ve said many times before, is all about being sustainably profitable and to do that as a gold miner one has to invest in profitable production as well as replacing the gold we mine. We as an industry, as you all know, have not done this very well. And as a result, the outlook of new global gold production is now declining. Our Barrick vision and the rationale behind our recent merger initiatives is to control a majority of the industry’s Tier One assets and to be present in the most prospective jurisdictions and of course be able to operate there successfully.  We now have six Tier One assets and have further two potential Tier One assets in the making which sets us apart from the rest of the industry. With the best assets and combining them with the best people we are very confident we will deliver industry-leading value and buck the trend that you see here.  I hope you'll recognize that we've achieved a great deal in the first half of the year to deliver on our vision. I believe this is largely attributable to the successful application of Randgold's business model to the new Barrick's global scale. Something many observers thought could not be done. Of course, the two businesses were always a great fit. But the merger would not have been affected so smoothly and delivered on its promises so fully, had it not been for two years of careful conceptualizing, a thorough due diligence and detailed preparation for a new business directed by our clear strategy and managed by a very capable and integrated team with a shared vision.  I believe we have already established Barrick as a business with a distinctive brand, one that is synonymous with value creation and stands for sharing that value with all stakeholders. Does the market also see us that way? I'll let Barrick's share price performance since the merger answer that question. Do we have more to do and deliver on? Absolutely. I can confirm this is just the beginning and there are more exciting opportunities out there and we plan to make the best from them.  Thank you, ladies and gentlemen, for your attention. And at this point, we would be delighted to take questions. And I believe we’re going to start with those that have dialed in and then come back to this audience if that's okay by you.
Operator: Thank you, sir. [Operator Instructions]. There are no questions at this time. 
Mark Bristow: Well, thank you. Let's open to you guys here.
Operator: Hi, everyone. If we could just ask if you could state your name and who you represent before asking your question.
Greg Barnes: It’s Greg Barnes with TD. Just want to ask about Pueblo Viejo and the comments in the MD&A about the unconstrained TMF that is operating.…
Mark Bristow: Unconstrained? 
Greg Barnes: Yes.
Mark Bristow: Unconstrained what?
Greg Barnes: TMF, tailings management…
Mark Bristow: Okay, tailings, TSF. 
Greg Barnes: TSF, okay, sorry, TSF. I'm just curious what that means? I know tailings storage there has been an issue. 
Mark Bristow: Yes. We've got four sites of potential tailing storage facility and we're busy working through that. We've engaged with the government on that evaluation. And during the process of the feasibility study we will select one of those sites. Once we've done all the geotech work which is the most important and also looked at ownership and the relocation action plan options and so on, and the important thing is that once we've selected that footprint and we get the application settled, it will bring -- it unlocks an enormous amount of reserves and resources, we trade it, unlocks an enormous amount of measured and indicated resources as I indicated. The initial estimate is about 11 million ounces immediately because they’re drilled down to that level. And it's -- that's the only thing that's keeping them in resources is that we can't actually process them without a tailings facility. So that's the one aspect.  The other one is, the miner is always getting to have to cope with much lower grades, as it mines at, the Moore pit for example. And so, the way to do it is how do you keep the production rates up at 800 to 1 million ounces, and manage the costs? And the concept initially was to concentrate some of the lower grades into a concentrate, and then leach -- water leach some of the higher sulfide material to reduce the energy component of their feed and merge them in with the main high grade feed into the autoclave with a balanced energy component. And thereby, what you effectively do because of the concentrate is that you can produce more gold because your front end processing is high volume, but then when you get to the autoclave it’s concentrated.  After the merger, what we looked at is much more aggressive reduction in volume, and the ability to float all of the material other than the high grade feed, which doesn't need concentration. And then partially oxidize the sulfide through ultrafine grinding, and tank leakage -- tank leeching. And that we have proof of concept of that sort of scale, both at Tongon and in Kibali. At Tongon we do partially oxidize the sulfide and the ultrafine grind. And if you put it into tankage, you can do that quite rapidly and under a very controlled environment.  And so, now what you've got is the optimal throughput looks like 14 million tonnes, but still feeding that 8 million to 9 million tonne autoclave capacity. And so you keep the throughput up, you drop the whole mining costs, and the overall operating cost is still in the bottom half of the industry cost curve, and of course -- and the indications are that we should be able to deliver production to -- right into the 2040s on that basis. And so it's important for us to have a tailing storage facility that has the capacity to expand into that life of mine plan. So that's what we've been working with the government. PV is a very significant contributor to Dominican Republic corporate tax. More than 23% of all corporate tax is, is paid by PV. It's a very profitable business, pays a lot of tax, employees a lot of people. And so we've worked with the -- both the federal government, central government and the provincial government and all other stakeholders to getting them aligned on how important this asset is. And the other thing I don't think a lot of people understand is that Barrick in acquiring the plateau down PV in the beginning also took on a lot of commitment to rehabilitate old mining liabilities from the previous owners of that region. And again we’ve made an excellent job in doing so and we still got work to do. But I think that's -- all that is important to the government as is the direct investment. 
Greg Barnes : Some locations for the new TSFs off your current property and you have to….
Mark Bristow: Yes, they are adjacent to and inclusive of the edges of the agreed license. 
Unidentified Company Representative : Anyone else?
Tanya Jakusconek: Tanya Jakusconek, Scotiabank. Mark, can I ask about -- you mentioned that there you currently were doing reserves and resources at various mine sites. So, will we have that information when you put out your five year guidance? And maybe just talk about how you're approaching reserves? The two companies have very different approaches to that. 
Mark Bristow: Though we haven't finalized exactly how we are going to do it, our reserves will be shared with you as no more than in annual report next year as we normally do. At this stage, if I were to -- so Africa is still running at $1,000 gold price certainly and the debate is do we change that. And the rest of the business $1,200 is and number. We’re using a long-term $1,200 gold cost and we’ve undertaken that by the end of the year, we will have tested only assets and derisk because it’s -- you know this, it’s oversimplifying things to just say use the gold price because many times you can -- depending on the orebody you can run at 1,200 whittle and it works at a 1,000 and makes money. So that’s what we’ve been doing with the Nevada mines particularly. But given the outlook on, well, gold supply and where the gold price is, the industry is not profitable at 1,200.  So that might well be our final number but we've still got some work to do. Right it’s working through -- and the other thing, you can't just take those big Nevada mines and say while we are just going to run them at a 1,000, they’ve got to be redesigned. So part of this optimization, the orebody modeling programs we’ve got is all about testing that opportunity. Along with, for instance, Turquoise Ridge is already, its cut off grade is already down at 6.6 because of we’ve taken out the processing charge to be able to drop that. And our intention is to go down to sort of 5.5, 5.75 around it. That’s the optimum cut off grade as we see it today in Turquoise Ridge. And so we’ve got quite a lot of work streams running at the moment. But it won’t be more than 1,200, I guess is my guidance.
Tanya Jakusconek: And you have enough information at that point.
Mark Bristow: We’ve got enough information today. I mean we’ve got a good handle on what it looks like. I can tell you now that if you move from 9, which we were cut off in Turquoise Ridge to -- from 5.5 there’s about 3.5 million ounces unlocked just on that moment. And there is a lot more work to be done. Veladero has got some work to be done. Again when we got -- looked at Veladero the first half with Mark’s team, we really didn’t even know what we're putting on the heap leach. Now we do and we know what's coming. Now the thing is much more can we drill out of the current pit shell, that’s four corners, it’s -- I can’t tell you in Spanish but the English translation is the four corners project which is really looking for -- to the deep extensions of the pit at Veladero and the opportunity to add life. And it’s going to be somewhere between 0.5 million and 2 million ounces potentially to add to that. Now that would be very significant for Veladero and then we’ve got the other satellite, nearby satellite assets. And of course the Pascua-Lama review is -- could well -- because we’re agnostic where it goes, and some of those Lama assets might be best served to processes at Veladero. So we’ve got a complete relook both Valadero as a JV and then what we can add to it and then what it looks like maybe in Pascua-Lama or maybe Pascua on its design and Lama more associated with Veladero, so all those aspects we’re looking at.  Porgera I think again we’ve got the drill rigs we’re drilling already. We’re very excited about the potential there and PV you’ve seen the benefit of geology. We’ve redone -- we’ve remapped and re-logged every single borehole. So a lot of our exploration team spent the last six months in the mines catching up the geology. They’re now just starting to migrate back into sort of more greenfield surface. Same with Goldrush-Fourmile. Again we’ve now got the structure out under Rod Quick’s guidance and Rob Krcmarov and his exploration team are now -- the Fourmile work is going to be widest spacing, getting the framework to get for Fourmile and then Rob and his team are going to go out and try and find the next one, and Rod Quick and MRM feasibility team will then drill it out to feasibility. So we got all those work streams going and we’ve got a good handle on our life of mines, frameworks, some still needs a bit of drilling to bank, but we’ll do like we did in Randgold. We’ll show you the bank reserves, we’ll show you the inventory and how it fits in with the life of mine plans. And then we’ll be able to work with you as we complete the testing of the sort of blue sky inventory going forward. So I'm pretty sure we’ll start with the five year plans because you can see I'm getting nervous here in front of you. 
Tanya Jakusconek: And when we say the five year plans, are we meaning the Barrick five years and then Nevada joint venture five years, everything released?
Mark Bristow: Nevada joint venture is called Nevada Gold Mines which consolidates into Barrick, it’s Barrick. 
Tanya Jakusconek: Okay, so all of that. 
Mark Bristow: All that. 
Tanya Jakusconek: And then if I can ask one more question. Just on North Mara, on the tailwinds. We saw this morning that you got the export permit to export gold but what about the tailings, it’s still looking …?
Mark Bristow: Okay. So that’s important for you to know. The mine has got the ability to ship the gold because it is stuck -- but it still can’t operate because it can’t use the tailings dam. And so our teams have been out there to meet with the Environmental Ministry as well as the other related ministries, Mines Ministry and so on. We are running a coordination committee on a weekly basis with the Acacia team just to make sure that we are moving forward. Because as I pointed out many times, the Government of Tanzania has been very consistent in managing this and had nothing to do with the negotiation as their view of poor performance. And so we’ve studied the North Mara dam. We have a plan. We shared it with government. We believe it’s both responsible and it will mitigate the issues that they have with that tailings dam. And the key thing is to get the water off the dam as quickly as possible. And then in the longer term to build the new dam. So we believe that we will get properly done. Once we get to all the votes and the final consolidation of those assets, we should be in a position to start -- starting things up. If we don't manage to convince people to start, they might be following, and the same goes with Buly. 
Unidentified Company Representative: Any more questions?
Mark Bristow: It’s okay. The team is here. We got Mark from Latam is here, who leads the Latam team. We've got the [Bennys] and a couple of people from our corporate executive team. So welcome to part three, unfortunately it's just tea and coffee, traditionally and Rangold distributed wine and champagne. But we have to understand, get a -- make a license if we wanted to do that, which is quite hard. So join us…
Unidentified Company Representative: Sorry Mark, there's two questions on the call actually.
Mark Bristow: Okay.
Operator: [Operator Instructions]. Our first question comes from Danielle Chigumira with Macquarie. Please go ahead.
Danielle Chigumira : Hi, thanks for taking my question, perhaps a predictable question from me. Given the speed at which you're already achieving the planned synergies at the Nevada JV and do you have any idea on the quantum or -- of potential upside facilities or when you would get some visibility on how much larger the synergies could be?
Mark Bristow: So Danielle if you see our announcement today, we are reinforcing $450 million to $500 million in synergies and we are at about -- we announced that we could see in the short-term about $240 million on an annualized basis, already identified and being affected. We have rearranged the pie charts in the presentation, you'll see today, because there's going to be swings and roundabouts, a little bit more here and a little bit less there. But overall in the guidance we've shown that we can see above the 480 million that we originally identified right in the beginning of the engagement with Newmont at the time. So we're very comfortable about that. We already are getting those benefits. Of course, some of them are hidden in some of the underperformance of the operation, also the fact that Newmont hadn't read -- although they guided the market on the collapse of Gold Quarry and the cessation of operations at Mill 5. Now that's a benefit because we're not going to switch off Mill 5. So that is a genuine synergy which would have materialized in Newmont’s hands as an example. So they lost a little stuff. But as I said in the presentation there are ones that we're already delivering on, the picture I showed you on the ore arrangements and that’s both the autoclave at Goldstrike and the Rush are receiving ore from Barrick and Newmont which was not in the mine plans or very far out in the mine plan, so we’ve brought them forward. And in the Turquoise Ridge Twin Creeks immediate benefits which are significant, and then we've already got things with -- on consumables. We renegotiated most of the major bulk consumables contracts which have reduced the pricing. And we are looking to about $110 million of procurement and logistics benefits in that $480 million. And we are well down the road on that. So we're in good shape and got no reason to change that guidance. And we’ll wash out after a while because there's been costs, transaction costs, retrenchment costs and other stuff. But right now I think we're pretty much settled with it.
Operator: Our next question is from Howard Flinker with Flinker & Company. Please go ahead.
Howard Flinker : Hi, Mark. Hi, Graham. I have two questions. One I read the other day that a company in Senegal was assessed taxes, and had no opportunity to appeal. Is your tax circumstance the same or did you copy your contract from Mali when you first went into Senegal? That's my first question.
Mark Bristow: No, I don't know the company you’re talking about. Do you Graham?
Graham Shuttleworth: So last news to me. 
Howard Flinker : Teranga Gold. I was astonished to read what I did. They just had to pay, they could not appeal, they could not protest, nothing, just fork over the money. Thank you very much.
Mark Bristow: Look if you want to have that discussion, rather have it with Mr. Young. We have a stability clause in our investment convention. We have stability close in our investment convention. And we're pretty comfortable with the way things operate in Senegal.
Howard Flinker : I suspected so, but I wanted to clarify that. And secondly, do you have any thoughts about Argentina, their currency devalued 25% this morning?
Mark Bristow: So we operate in emerging markets, things go up and down not necessarily in that order. I think in Argentina for us is a place -- certainly we had a town hall there other day with the Governor of San Juan Province. And we see a real commitment to mining. I mean, he quite to me said, San Juan is a mining province. It's all about mining responsibly, but it's not a province that, that can live without mining. And again, we are actively exploring in Argentina, both down the El Indio trend in the form of -- we've got a very big target similar to Veladero, slightly lower grade at this stage, which combines Alturas in Chile with Rojo Grande or Del Carmen in Argentina. And it's a very exciting project, very large, which we're exploring. And we've also moved further down the Andean trend and we're looking at new opportunities. We have a whole dedicated exploration team. We've just moved one of our geologists to -- from PV down to lead the -- do -- be the exploration manager in Argentina. So we're very committed, long-term investors in Argentina.
Operator: There are no more registered questions from the conference call. 
Mark Bristow: Thank you very much, everyone. You are welcome to join us for some tea and cookies. 
Operator: This concludes today's conference call. Should you have additional questions, please contact the Barrick Investor Relations Department. You may now disconnect your lines. Thank you for participating and have a pleasant day.